Operator: Good day, and welcome to the CTS Corporation First Quarter 2016 Earnings Conference Call. Today's conference is being recorded. 
 At this time, I'd like to turn the conference over to Kieran O'Sullivan. Please go ahead. 
Kieran O'Sullivan: Thank you, Katie. Good morning. Thank you for joining us today, and welcome to CTS' First Quarter 2016 Conference Call. We continue to focus on the execution of our strategy to drive growth through technologies and products that Sense, Connect and Move. Our management and global teams continue to stride for profitable growth, while managing operational costs. 
 In the first quarter, we continued to make progress in our performance measures. We secured $118 million in new business awards, sales for the first quarter were down 1.6% compared to last year, but up sequentially 3.7% from our fourth quarter. 
 We continue to drive operational improvements, and operating earnings improved 18.5%. We moved $53 million out of China, which reduces our balance sheet currency exposure. And we completed the acquisition of CTG Advanced Materials, the market leader for piezoelectric's single crystals for the medical industry. 
 Ashish Agrawal, our CFO, is joining me on today's call. Ashish will take us through the safe harbor statements. Ashish? 
Ashish Agrawal: I would like to remind our listeners that this conference call contains forward-looking statements. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Additional information regarding these risks and uncertainties is contained in the press release issued today, and more information can be found in the company's SEC filings. To the extent that today's discussion refers to any non-GAAP measures relative to Regulation G, the required explanations and reconciliations are available in the Investors section of the CTS website. 
 I will now turn the discussion back over to our CEO, Kieran. 
Kieran O'Sullivan: Thank you, Ashish. First quarter sales were $96.7 million, down $1.6 million compared to the same quarter last year. Foreign currency impacted sales unfavorably by $700,000. Sales grew 3.7% sequentially from the fourth quarter of 2015. 
 Gross margin improved 190 basis points to 34.6% in the first quarter compared to last year and improved 230 basis points sequentially. Adjusted operating earnings were 13.7%, up 220 basis points from the same period last year. Adjusted earnings per share were $0.26 compared to $0.20 in the first quarter of 2015. 
 Our teams continue to manage operating costs, while keeping the focus on profitable growth. In the first quarter, operating costs were 21.8% of sales. SG&A costs were down $800,000, while we increased R&D spend by $1 million year-over-year. 
 Our focus on simplification as part of our core values continues to deliver improvements. The management team continues to seek further simplification and margin improvements across our global footprint. 
 We remain focus on our strategy to drive growth, future growth through products and technologies that Sense, Connect and Move. New business awards were a solid $180 million for the quarter. 
 For automotive products, we were awarded new contracts with 5 customers for accelerator pedals, 6 customers for sensors and 1 customer for actuators. We were awarded military contracts with 2 new customers, one in Europe and one in North America on piezo products. We expect these awards to exceed $1 million in revenue in 2017. 
 We had several design wins in frequency, filters and electromechanical products. In the first quarter, we announced the acquisition of the single crystal technology. Our new team in Bolingbrook, Illinois is the market leader in designing and manufacturing of single crystal piezoelectric materials, serving major OEMs in the medical equipment marketplace. The business fits squarely within the Sense and Move categories of our strategy and is in line with our focus on acquiring complementary technologies. These materials enable high-definition ultrasound imaging and intravascular ultrasound applications. 
 The acquisition provides a leading-edge high-margin technology in the single crystal space, knowhow and significant near-term and future growth potential in existing and new markets. The single crystal application in medical ultrasound is expected to grow 12% per year over the next several years. 
 Other applications on our roadmap for single crystal technology include wireless pacemakers, implantable hearing aids and defense applications. As you're aware, we've developed a deep expertise and knowhow in piezo products over many decades. Our teams are already together. Working on time lines to target sales growth, improve yields and build back-up foundry capabilities to provide security of supply for our existing and new OEM customers. The acquisition brings expanded relationships with several existing customers and is adding some new ones as well. 
 The gross margins in this product line trend higher than our existing product lines. We expect to see benefits in our finishing process equipment and as I said, back-up foundry capabilities. We expect modest EPS accretion in the second half of 2016 and stronger accretion in future years as the product line grows. 
 Our stated goal is to diversify CTS' end markets and expand our portfolio of products and technologies around the categories of Sense, Connect and Move. 
 We continue to develop our M&A pipeline to identify specific regional and technology bits to complement our business growth. 
 Our HDD product line sales were lower this quarter than the same period last year. We are monitoring the market transition to solid-state devices, while our team continues to drive growth in adjacent product lines. Wireless telecom end markets remain soft, impacting our frequency and filter product lines. Automotive end markets remain solid during the quarter, although inventory on hand in North America increased from 61 to 65 days. Overall, predictions for global automotive production to increase from 80.6 million units in 2015 to 91.3 million units in 2016. 
 Our guidance for full year of 2016 sales is in the range of $390 million to $410 million and adjusted earnings per diluted share in the range of $0.95 to $1.06. This includes the single crystal acquisition and excludes foreign exchange impact related to balance sheet translation. 
 I will now hand the call over to Ashish to walk us through the financial results in more detail. Ashish? 
Ashish Agrawal: Thank you, Kieran. First quarter sales were $96.7 million, down $1.6 million compared to the same quarter last year. Foreign currency impacted sales unfavorably by $700,000 in the first quarter. Sales grew $3.4 million sequentially from the fourth quarter of 2015. This was our second sequential quarter of sales growth. Sales were higher by 4.7% to automotive customers and sales of electronic components increased by 1.5% compared to the fourth quarter of 2015. 
 Gross margin for the quarter was 34.6% versus 32.7% in the same quarter a year ago. The increase in gross margin is the result of our efforts to drive efficiency gains through material and labor productivity projects and savings from restructuring projects. In addition, foreign exchange rates had a favorable impact on manufacturing costs as the U.S. dollar was stronger against various local currencies where we have manufacturing operations. 
 SG&A expenses were $14.9 million in the first quarter of 2016 compared to $15.7 million in the first quarter of last year. This improvement was driven by careful cost management and the timing of certain expenses. Our sales and marketing expenses was slightly higher than the first quarter of 2015. 
 R&D expenses were $6.2 million in the first quarter of 2016 compared to $5.2 million in the same period last year. R&D expenses grew as we continue investing in new products to drive organic growth. 
 Interest expense increased in the first quarter of 2016 versus the same quarter last year, primarily due to higher borrowings related to the single crystal acquisition. 
 Interest income in the first quarter of 2016 was lower than last year due to lower cash balances and interest rates in China. In first quarter of 2016, other expense was $200,000. This was driven mostly by foreign currency balance sheet translation losses as the U.S. dollar appreciated against various foreign currencies. Balance sheet translation gains or losses due to foreign currency movements have impacted our results significantly in recent quarters. 
 To provide more clarity on operating results, we have excluded this impact in our Q1 adjusted results, and we'll continue to do so going forward. 
 Our effective income tax rate in the first quarter of 2016 was 34.3%, which reflects the change in the mix of earnings by jurisdiction as well as the impact of certain discrete items. Our effective income tax rate was 30.2% in the first quarter of 2015. The increase in the rate is primarily attributable to recording tax expense for withholding taxes on earnings in China as well as provisions for uncertain tax position in a foreign jurisdiction. 
 Our first quarter of 2016 GAAP earnings were $0.24 per share. Included in this number is a $0.01 charge for transaction costs incurred to complete the single crystal acquisition and a $0.01 unfavorable impact related to foreign currency balance sheet translation losses. Excluding these items, adjusted earnings per diluted share were $0.26 in the first quarter of 2016. 
 I'll now cover a few items on the balance sheet. Cash and cash equivalents were $131 million at the end of first quarter of 2016 compared to $156.9 million at the end of 2015. Our debt balances were $141.3 million, up from $90.7 million at December 31, 2015. The single crystal acquisition is the primary driver of these changes. We had discussed in February our intention to move cash out of China to the extent permitted under local law. We have moved $53 million from China. This cash will be available to us to fund organic growth-related investments and for acquisitions outside the United States. Going forward, we will continue to dividend money from China. 
 At the end of 2015, we gave up permanent reinvestment assertion for our operations in the U.K. and Canada. In the first quarter of 2016, we brought back $30 million from these operations to the United States. This cash was used to partially fund our single crystal acquisition. Debt to capitalization was 32.9% at the end of first quarter of 2016, up from 24.4% at the end of this year. This increase in borrowings is driven by the funding for the single crystal acquisition. 
 Our controllable working capital as a percentage of sales was 12.1% in first quarter of 2016, which represents a substantial improvement from 13.1% a year ago. The first quarter 2016 controllable working capital balances include the single crystal acquisition. 
 Cash flow from operations for the first quarter was $400,000 compared to $500,000 in the first quarter of last year. Capital expenditures were $2.9 million compared to $1.2 million in the first quarter of 2015. 
 Finally, I would like to provide some financial information about the single crystal acquisition. This acquisition gives us a cutting-edge technology with applications in an attractive growth market. As Kieran mentioned earlier, the single crystal ultrasound market is expected to grow at 12% per year for the next several years. The acquisition is expected to add $12 million to $13 million to our top line in 2016, and EPS is expected to be modestly accretive in the second half of 2016. We will complete the valuation analysis for the acquisition in the coming months, and the reported financials may change based on the final valuation. We expect the return on invested capital from this acquisition to be in the low double-digit range by 2019, exceeding our weighted average cost of capital. 
 This concludes our prepared comments. We would like to open the line for questions at this time. 
Operator: [Operator Instructions] We'll go first to Larry Solow with CJS Securities. 
Lawrence Solow: Just wondering if we could just follow up a little bit on the CTG. You mentioned that the single crystal market is growing about 12% annually. Or is CTG the leader in this market or are there other players who were taking advantage of this? And then the follow-up question, that would be the return on capital rising towards the low double digits over a 3-year period. Does that assume a greater increase in revenue? Do you already have some orders in the backlog? Or if you can give us a little more color on that, that will be great. 
Kieran O'Sullivan: Larry, I'll take the first part and let Ashish come back on the returns. When you look first of all at our strategy, we said we've got very distinct things we want to do across the business. In the piezo business, we have one technology, which is the bulk capability. We've been working on another technology with in-house organically, and then we wanted to add the single crystal. So this is the leader in this space. There are some other competitors, one in the U.S., one in Korea and one in Japan and one in China as well. But very definitely, the leader in the space and with some unique knowhow in terms of processing and capabilities as well. Ashish? 
Ashish Agrawal: Larry, on the return on invested capital, we acquired the business primarily for being able to improve the top line. So that's where we expect most of the return on invested capital improvement to come from. There will be small things that we will be able to do in terms of improving manufacturing yields and equipment purchases, things like that, but the biggest portion will come from the top line growth. 
Kieran O'Sullivan: And Larry, I would also just add to that. We have a number of OEMs that we're already working with, and this increases our business with them and then there's others that are new. 
Lawrence Solow: Got it. And then if I could just add one more question, just on your guidance. It sort of implies, sequentially, if we add the $12 million, $13 million from CTG, about a similar piece of sales through the year. Is that -- and obviously, as on a year-over-year comp, that would point to show an improvement in the back half on growth. But is that about where you're pointing to now towards sort of a similar revenue outcome over the next few quarters? And then when do you expect some of the big backlog, which remains gray, another good quarter of orders? When do you expect that to really start to drive higher sales? 
Kieran O'Sullivan: So Larry, I want to make sure I can answer your question it was -- quite a bit to it. And Ashish had said in the prepared comments, the revenue for the year would be in the range of $12 million to $13 million, and that's what we're expecting. There was obviously a little bit of that in March. We had 2 or 3 weeks of revenue built into that, in our results. And as we go forward in terms of building the backlog, we have obviously work to do there. We have contracts already in place that we're very comfortable with, and we expect to start reporting that as part of our new business awards each quarter as we go forward. Ashish, any comments you want to add to that? 
Ashish Agrawal: No. Larry, did that answer your question or... 
Lawrence Solow: Yes, that's fine, that's fine. 
Operator: We'll take our next question from John Franzreb with Sidoti & Company. 
John Franzreb: A couple of things. Let's just stick with the revenue for a second here. It sounds to me if you add in the CTG purchase that you're actually taking down the previous organic revenue outlook by a couple of million dollars. Firstly, am I interpreting that correctly? 
Ashish Agrawal: John, the guidance was increased by about $10 million. 
John Franzreb: Well, I guess, at the midpoint, you -- for the previous guidance, you were at $395 million and if you back out the $12 million from CTG, the midpoint drops down to $388 million. If I did my math correctly. 
Ashish Agrawal: So the acquisition will add $12 million to $13 million for the rest of the year. That's our expectation. Actually, including the 2- or 3-week period from March, if you exclude that, then our sales would be in the range of $390 million to $400 million, which was our original guidance. So it hasn't materially changed, excluding the acquisition. 
Kieran O'Sullivan: So John, if you look back in our guidance, I think we said organic growth is 2% to 5% and then obviously the acquisition as well. 
John Franzreb: Well, let me just look at it another way. At the bottom end of your range, okay, which is unchanged from last quarter, right, both at $390 million? And I'm assuming $390 million includes at the minimum $12 million from CTG, now what's changed at the bottom end of the range? 
Ashish Agrawal: So you could look at it that way. The bottom end is basically taking into account any market softness that we might see in the automotive industry. 
John Franzreb: Okay. And then... 
Ashish Agrawal: But our expectation is really for the core business to still be in the range of $390 million to $400 million and then on top of that, we have the acquisition. 
John Franzreb: Okay. Well, okay, let's stick with the -- your automotive comment then. In the quarter, revenue increased $4.7 million -- I mean, I'm sorry, 4.7%, okay? Do you -- embedded in your outlook for the year, do you expect the automotive business to remain up for the year? 
Kieran O'Sullivan: If you're looking into the year-over-year basis, we expect it to be up. 
John Franzreb: Okay. And what's driving that, Kieran? 
Kieran O'Sullivan: Just the focus on the products. There's obviously some market lift out there as well from the growth globally. Europe is maybe a little bit better. China was -- everybody was wondering where China is going. China is not a 6%, 10% growth rate, it's more like 3% to 4%. And North America, it's a little bit of a gamble at this stage. We see 2% to 3% growth from them to speculation that we're getting to the top of the market. And I don't know, John, if that's this year or next year or 2 years out, but we're kind of a little bit cautious there. 
Ashish Agrawal: John, if you also remember last year, we spoke about product transitions, and we had some older legacy products going off-line and new products ramping up this year. So that's also helping us to some extent. 
John Franzreb: So Ashish, are you suggesting that new products are now filling the gap of the couple of million dollars you're losing from perhaps going end of life? 
Ashish Agrawal: Yes. 
John Franzreb: Perfect. Regarding the gross margin profile, another good quarter on the gross margin profile you attributed to productivity improvements more so than anything else from what I gathered from your prepared remarks. I know people peppered in the past about the sustainability of it being that it's a productivity improvements and not mix. Why wouldn't be able to sustain a better gross margin profile going forward? 
Ashish Agrawal: So the gross margins are impacted by the productivity actions. They are also -- we get some benefit from the restructuring actions that we have done, and there's also an impact of currency that is helping us as the dollar has appreciated against some of the countries that we make products. So the currency, if it goes the other way, that will unfavorably impact us. And on an going-forward basis, we obviously keep working to offset any price decreases, that productivity in our manufacturing and supply chain. 
Kieran O'Sullivan: John, just adding to that. The most fundamental and important thing to us is to get the growth engine going. But I would also tell you, we are relentless in terms of looking at our cost structure, our operational effectiveness, and that's why we chose simplification as part of our drive and fixes in the business. So I'm getting the benefits, and I understand your question, hey, could you be getting better. And we're obviously trying to build a track record here, and I would tell you our focus on the top line and our focus on the margins will stay there. 
John Franzreb: Okay. And just for clarification, CTG, you said had -- what were your quotes -- high-margin opportunity, Kieran, is that true? 
Kieran O'Sullivan: A higher-margin profile that are existing. 
Operator: We'll take an expression from Hendi Susanto with Gabelli & Company. 
Hendi Susanto: So Ashish, with regard to like strong operating margin in Q1, how should we think the trajectory of operating margin for the rest of the year? 
Ashish Agrawal: So as the business is progressing here, Hendi, one of the things that we highlighted was the gross margin, Kieran gave plenty of color on that, it will evolve through the year as we move forward. On the operating expense side, we had a pretty good first quarter in terms of operating expenses. There were some timing-related items that impacted us somewhat favorably. So I would see an increase in operating expense in the second quarter through the fourth, primarily related to the amortization of intangibles related to the acquisition where we had a very small amount in the first quarter. And then some other timing-related items could impact us by smaller amounts, but you will see some of it come -- the operating earnings come down slightly as a result of the increase in amortization expenses going forward. 
Hendi Susanto: Okay. And Ashish, would you be able to share amortization of intangible estimates for the rest of the year so that we can have some idea on how much impact it will bring to the operating expense line? 
Ashish Agrawal: So the -- historically, we have had about $1 million a quarter, Hendi. And with the acquisition, the numbers are still being finalized, the valuation exercise is in process. So I don't want to pin a number down just at this point, but I would expect us to be, I would say, at least a couple of million dollars a year increase we should see going forward in our amortization expenses. 
Hendi Susanto: Okay. And then, Kieran, the hard disk drive is quite soft. So I was wondering like how, whether that -- whether you saw like revenue decline that is significant or your revenue decline was not that significant in Q1 for your piezo products? 
Kieran O'Sullivan: Yes, what we've seen, Hendi, and I think you know the history here from the last number of quarters we've had, inventory buildups and then tapering off again. So we're seeing some headwinds there. We saw a more softness, but we'd also been focused on this for the last year, 1.5 years, expecting that the headwinds are coming, and the team there on that product line has done a great job of bolstering up the other products in the portfolio. So we're growing in other areas to offset the decline. If you look at it from a market perspective, what you'll see out there, if you're looking at some of the big players, STD is growing at 20%, HDD is meant to be growing at 4% it's the market data. But it's different in the different segments, whether it's in the PC or the enterprise, it's a mix and it's pretty complicated, but we did see some declines. And we'd obviously like to see that return, but our plan is to expect further declines and to offset it with other products. 
Hendi Susanto: Okay, yes. And then, Kieran, one last thing. Do you have updates on your smart actuator business? 
Kieran O'Sullivan: Yes, we're -- obviously have been focused, as we said in previous calls, with our existing customer there. We've continued to expand that relationship and business award that goes out beyond 5 or 6 years at this stage. So it's very solid. And we're actively chasing new customers, making progress and diverted resources in that area as well. So we expect to see some fruition coming out of those efforts in the quarters ahead. 
Hendi Susanto: And then any information how much revenue in the smart actuator would be generated in 2015 and your expectations for 2016? 
Kieran O'Sullivan: I would tell you, we've never given out a lot of information on that. But I would tell you that what we're seeing is a good growth year-over-year, and we see that going forward as well. 
Operator: [Operator Instructions] We'll go next to Ian Gilson with Zacks Investment Research. 
Ian Gilson: I do have a couple of questions. You said that CTG has better margins than the prior businesses before the acquisition. Should not that result in an improvement in gross margins vis-à-vis the first quarter during the rest of the year? 
Kieran O'Sullivan: Ian, I'll let Ashish handle the accounting on it, but in the -- you're not going to -- there's some obviously accounting things we have to address in the first quarter, even in the first few months of the acquisition. And Ian, we said it will show modest accretion in the second half and going forward and obviously you can take from that, that it should give us some help going forward. 
Ashish Agrawal: Ian, the gross margins of the business are higher than the rest of our business. So from that standpoint, you should see some impact. However, the size of the business is relatively small. So the amount of improvement you'll see may not be material. The -- as part of any acquisition accounting, we will have to gross up the acquired inventory for valuation purposes. And as a result of that, you may not see as much margin accretion early on as you would in the second half of the year. 
Ian Gilson: Okay. The repatriation of cash out of China, did that impact taxes in the first quarter? 
Ashish Agrawal: So the primary impact was recorded in the fourth quarter when we made that decision. And then in first quarter and in the subsequent quarters going forward, we will be recording withholding tax liability on all our China earnings. So yes, there is an impact going -- in the first quarter as well as going forward. 
Ian Gilson: So may we look at 34% as an annual rate this year? 
Ashish Agrawal: At this point, Ian, that's probably a reasonable number to work with. 
Kieran O'Sullivan: And Ian, we're always looking for ways to improve. 
Ian Gilson: Okay, [indiscernible] Death and taxes, right? Okay. The increase in long-term debt, how long term is that?  Is it -- it's obviously past 1 year, but is it spread over several years? When is the maturity schedule on that? 
Ashish Agrawal: So we have a revolving credit facility and the expiration is in the middle of 2020. 
Ian Gilson: Okay. Now you mentioned a number of design wins that you have made in the first quarter. What is the time frame over of those design wins will impact top line? 
Kieran O'Sullivan: Usually, it's a 12- to 18-month period for those products in the component side of the business. Some can be a little bit earlier, some a little later, but rough and toughly, 12 to 18 months. 
Operator: We'll take our next question from John Franzreb with Sidoti & Company. 
John Franzreb: Could you just talk a little bit about the price you paid for CTG? It seems like a rather sizable multiple. Can you give us -- discuss that a little bit, give us some color? 
Kieran O'Sullivan: John, just to hit it upfront, we never disclose the multiple. We're very satisfied with the margin profile, the growth rate here. We're excited about the business fit. But for competitive reasons, we've kept that pretty tight. But we're -- we think it's a great fit. 
John Franzreb: Okay. How about the change in budgets for you bringing on the acquisition both on the R&D side and capital expenditures. Can you update us on what to expect those to look like going forward? 
Ashish Agrawal: Specifically, related to the acquisition, John, I'm not expecting a dramatic change in profile on our R&D spending or on CapEx. And we should be able to manage it in the traditional ranges that we have talked about, which is approximately 6% of sales for R&D and between 3% and 4% on CapEx. And the CapEx number can be a little bit up, a little bit down, depending on the timing or investments. But I'm not expecting any outsized changes in either of those numbers. 
John Franzreb: Okay. And regarding the cash you're moving around, I guess it wasn't running the sound fast enough, but how much did you actually repatriate to the U.S.? And how much did you move from China? It doesn't sound like you brought it to the U.S. I'm just -- could you walk me through that, Ashish? 
Ashish Agrawal: Sure. So we moved $30 million from U.K. and Canada to the U.S. We moved $53 million from China to outside of China in our other international operations. That cash is intended to be invested outside the U.S., either for acquisitions or for growth-related CapEx. 
John Franzreb: Okay. And are you done with the repatriation process from the U.K. and Canada closures. 
Ashish Agrawal: The most of it yes, John. There may be some smaller amounts that we are able to repatriate further, but the large piece is done. 
John Franzreb: Got it. All right. And the costs associated with the acquisition, I assume there in SG&A, what was the pretax number on that? 
Ashish Agrawal: The pretext number on what, I'm sorry? 
John Franzreb: The costs associated with purchasing CTG that you want to call out as a onetimer? 
Ashish Agrawal: Yes. It's just around $800,000. 
John Franzreb: And that's in SG&A, I assume? 
Ashish Agrawal: Yes. 
John Franzreb: Okay. And regarding currency, do you have a balance sheet item that you want to call as a onetime item? But you also benefited on currency on the gross margin, are you calling that out also? 
Ashish Agrawal: So the gross margin impact of currency is not getting called out. It is blended into the gross margin rates. We have an unfavorable impact on our top line. And by the time we get down to the gross margin line, there's some favorability built in primarily on the cost side. Net-net, John, it's not going to be a material number and it is operational, which we actively work on managing. And on the balance sheet side, we just want it to provide clarity whichever way the revaluation is going because of currency rates, that's the reason we have started excluding it. 
John Franzreb: Okay. So how much of the gross margin benefit from currency in the quarter? 
Ashish Agrawal: As I mentioned, it's not a material amount at the gross margin line. 
John Franzreb: It's not. Okay, all right. And how much in the currency that you're calling out? Is it in other expenses, that $195,000 in there? 
Ashish Agrawal: It's roughly $200,000. 
John Franzreb: Okay. And this is going to be rebalanced every quarter? I just want to make sure I understand this properly. 
Ashish Agrawal: Yes. 
John Franzreb: So why do we look at it as a onetime item? 
Ashish Agrawal: No, it's not a onetime item. We are excluding it as part of our GAAP to non-GAAP EPS adjustment every quarter going forward. 
John Franzreb: It isn't just the cost of doing business overseas? 
Ashish Agrawal: You could look at it that way, sure. 
Operator: We'll take our next question from Larry Solow with CJS Securities. 
Lawrence Solow: A quick couple of follow-ups. Just in terms of you guys have obviously increased your sales and marketing focus and trying to get a little -- your R&D and innovation, trying to get on [indiscernible] new products. In terms of some of the new orders, you mentioned you had a couple of new military customers in there, those seem like small orders. The majority of their rest of the orders, were those with existing customers and -- or are any of those products -- new products or they just tack-ons to prior orders or extensions? 
Kieran O'Sullivan: So, John, the 2 new ones with those new customers in military applications, they tend to be a smaller starting out and then they creep up over time because we were usually developing the multi-year contracts. And the other thing is most of the other awards were with that new customers -- sorry, I beg your pardon, with existing customers, and then we did add a few customers during the quarter, but not significant enough yet to call out. 
Lawrence Solow: Got it. Okay, and then just -- you did mention you will start showing your backlog and maybe will give us a little more visibility on going forward, will help on sort of when some of the this -- because obviously your long-term book-to-bill, I think, you're trailing a quarter book-to-bill is 1.3 or something, which is a phenomenal number. Just trying to get a little more of visibility on when you think we'll see an acceleration on sales this year obviously doing a little better than last year. I think you have 2% to 5% organic growth in your projections. Where you stand today, would you see that number going up and accelerating in '17? 
Ashish Agrawal: Larry, I would not change our previous indication on '17 at this point in time. Obviously, I want to get closer to the single crystal business and better understand their profile as well, and then we can internally get comfortable with our backlog numbers and start talking about it publicly. 
Lawrence Solow: Okay but '17, I think, at least from what I understand, the prior or the last public comments, were high single-digit growth, right, which included acquisitions, is that correct? Or maybe even low double digit, including acquisitions; mid- to high, without. Is that sort of where you've -- could you just remind us what your last sort of -- it's not guidance, but target for '17 was is? 
Kieran O'Sullivan: John, when you look at it, first of all, on the automotive product line, we've been working that backlog you're seeing, we've talked about the turn in the business happening this year, we expect that turn to continue unless market conditions change out there. And in terms of target growth rates, we've always said, between organic and acquisitions, we want to target 10%. And I think Ashish is saying, hey, we're working towards it. 
Ashish Agrawal: It's '17. I don't think we'll be looking at a 10% growth. It will be closer to the mid to slightly north of mid-single digits. 
Lawrence Solow: Okay, right. Would that include CTG, but CTG will already be in this year's numbers. So that will be great. So just following up on John's question on CTG. I know you don't want to disclose actual multiples, but it sounds like $12 million, $13 million in sales, it's -- if it's still 25% EBITDA margin, that's probably $3 million, $4 million, right? Is that ballpark? So you paid -- what I'm trying to get at is there must be a significant growth business, can you sort of give us historical where this $12 million, $13 million sales has come from over the last couple of years? Or I guess you assumed, going forward, it's going to really grow rapidly because it does sound like you paid upwards of 20x EBITDA or something. 
Kieran O'Sullivan: So John -- Larry, we didn't disclosed the EBITDA. I'm not going there. To put it very squarely, we're very comfortable with the business. We're very comfortable with the 12% growth rate we've talked about. There's a good track record here, and we've got solid basis for the future growth. It really fits in our strategy of Sense, Connect and Move, it fits on the Sense and Move side. And not only that, but we have other products in the roadmap going forward that we're excited about as well, and we haven't obviously gotten -- we're getting deeper into those, as we speak. We're starting off focusing on the core on the medical imaging. So we're very satisfied with it, and we feel very comfortable with the financial model. And you mentioned some numbers that were extremely high there. That's all I'd say to you. 
Lawrence Solow: Okay. So I guess, clearly gets into a healthcare market, which obviously is a growthy market with -- and carries high multiples, too. So I get that. 
Operator: We'll take our next question from John Franzreb with Sidoti & Company. 
John Franzreb: Just one final question about CTG. Is that going to be run as a standalone operation? Or will there be some consolidation involved in bringing that on-board? 
Kieran O'Sullivan: John, it's just about 6, 7 miles away from our facility here in Lisle. And I would tell you it's a standalone. It's got a nice small group, very focused team, and we're really just focused on getting that team on track with the growth that they've been delivering and delivering the growth going forward and strengthening the organization. 
John Franzreb: Got it. So we should not expect any kind of restructuring charges? Or any other costs associated with the business going forward, except for the step-ups that Ashish mentioned earlier? 
Kieran O'Sullivan: Yes, we're looking at improving the processes, different things. We're always looking to improve and simplify. 
Operator: With no additional questions in the queue, I'd like to turn the conference back over to Mr. O'Sullivan for any additional or closing remarks. 
Kieran O'Sullivan: Great. Thank you, Katie. We accomplished a lot in the first quarter. I'm pretty grateful to all our team members for their hard work and dedication. But we're still very much aware that we've a lot to accomplish to satisfy our needed next steps to enhance growth, continue simplification and advance our focus on innovation. I want to thank you all for participating on today's call. Thank you. 
Operator: That concludes today's conference. We appreciate your participation.